Operator: Good morning. My name is Sherley, and I will be your conference operator today. At this time, I would like to welcome everyone to the Western Gas Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the conference over to your host for today, Benjamin Fink, Senior Vice President and Chief Financial Officer.
Benjamin M. Fink: Thank you, operator. I'm glad you could join us today to discuss Western Gas's fourth quarter and full year 2013 results, as well as our outlook for 2014. Please note that on this call, we will be referring to Western Gas Partners as WES and Western Gas Equity Partners as WGP. Don Sinclair, our President and CEO, is joining me on the call today. And I'm also very pleased to introduce all of you to Jacqui Dimpel, who is also with us today. Jacqui succeeded Danny Rea as Anadarko's Vice President of Midstream, and was just appointed yesterday as our newest Senior Vice President. As always, this presentation contains estimates that are based on the best information available to us at this time, and we believe that these estimates are reasonable. However, a number of factors could cause actual results to differ materially from what we discuss. Please refer to our latest filings with the SEC for the risk factors associated with our business. In addition, we'll be referencing certain non-GAAP measures on the call, so be sure to see the reconciliations in our earnings release. As a reminder, you can view and download all of these materials, including this call's presentation slides, at www.westerngas.com. Lastly, for those you who were unitholders of WES in 2013, I'm pleased to inform you that your K-1 is now available through our website with paper copy to be mailed to you later in March. For those of you who were unitholders of WGP in 2013, your K-1 will be made available on our website in mid-March with paper copy to be mailed to you towards the end of the month. With that, let me turn the call over to Don.
Donald R. Sinclair: Thanks, Ben. Good morning, everyone, and thank you for joining us today. WES's fourth quarter and full year results for 2013 were excellent. For the full year, WES's adjusted EBITDA was above the high end of the guidance range we announced in November. WES's full year total capital expenditures on a cash basis came in more than expected due primarily to timing of cash payments. And maintenance capital as a percentage of adjusted EBITDA was at the low end of the announced range. 2013 was an important year at WES, highlighted by over $700 million of acquisitions; 16% full year distribution growth; total capital and equity investments have grown by more than 7x over the last 2 years and the receipt of our third investment-grade rating. WES ended the year with approximately $900 million in liquidity and maintained healthy coverage ratios throughout the year. The strong components of WES led to substantial growth of WGP, as its fourth quarter distribution is 40% higher than it was in the fourth quarter of 2012. Looking specifically at WES's fourth quarter, adjusted EBITDA was $129 million, and distributable cash flow was $105.7 million. WES's fourth quarter coverage of 1.14x includes all the units we issued in conjunction with this December equity offering, the proceeds with which will allow us to fund the Texas Express and the Front Range acquisition we announced yesterday without issuing additional equity. For comparative purposes, if the WES units issued in December were excluded in the coverage ratio calculation, the fourth quarter coverage ratio would have been 1.19x. The drivers behind WES's fourth quarter results were the sequential growth in the DJ Basin and Marcellus Shale. We continued the ramp-up of our Brasada facility in addition to OTTCO pipeline in September. We were able to achieve this growth while experiencing colder-than-normal weather across our operations, which WES may have a $2 million negative financial impact on quarterly results. Now I'd like to take a moment to discuss the acquisition we announced yesterday in more detail. Maybe you're familiar with the assets we're requiring because the remaining interest in each of these assets were held by other master limited partnerships. We required a 20% interest in both Texas Express Pipeline LLC and Texas Express Gathering LLC and 1/3 interest in Front Range Pipeline LLC. Texas Express Pipeline is a 580-mile, 20-inch pipeline that transports natural gas liquids from Skellytown, Texas to the Mont Belvieu fractionation complex. The pipeline has initial capacity of 280,000 barrels per day and is expandable to 400,000 barrels per day with additional pumps. Enterprise Products Partners is the operator and owner, and the remaining owners are Midcoast Energy Partners and DCP Midstream Partners. Texas Express Pipeline was placed in service in November 2013. The Texas Express Gathering system gathers natural gas liquids produced at Anadarko Basin. The gathering system is operated by Midcoast, which is an owner, along with Enterprise and WES. The buildout of gathering systems is occurring in phases, with the first phase consisting of approximately 116 miles of gathering lines, and additional phases are expected to be completed through 2019. Texas Express Gathering began operations in November 2013. Front Range pipeline is a 400-mile, 16-inch pipeline that connects DJ Basin in Colorado to Texas Express in Skellytown, Texas. Front Range has initial capacity of 150,000 barrels per day and is expandable to 230,000 barrels per day with additional pumps. By utilizing Front Range and Texas Express, DJ Basin producers now have the ability to move NGLs directly to Mont Belvieu. Front Range began its operations in February and is operated by Enterprise, which owns a 1/3 interest, along with DCP Midstream. This acquisition is immediately accretive to our distributable cash flow. Assets are supported by firm transportation agreements that have increasing volume commitments over time and the investment-grade shippers. Given the low-risk state of assets' growth, we believe it is appropriate to valuate the assets based on total project cash flows as opposed to only the next 12 months. The purchase price is equal to the assets' current book value, and the 3 projects have a blended base case, unlevered internal rate of return of 14% to 18%. Now before we move on to our full year 2014 outlook, I'd like to give you an update on Lancaster, our major growth project in the DJ Basin. The first train of our Lancaster plant is currently being commissioned, with start-up expected by the end of March. We are currently purchasing longer lead-time items for Lancaster II. And based on the recently experienced cold weather which impacted our construction schedule, we now expect that the second train would be in service in the second quarter of 2015. Looking to the entire facility, we anticipate spending approximately $130 million on the 2 trains in 2014. A pie chart on Slide 11 shows where we expect to invest our money in 2014, including both capital expenditures and equity investments. As always, these figures do not include acquisition capital. In addition, Lancaster complex highlights the capital planning, including well connections and additional pipeline and compression facilities in the DJ Basin and additional well connections and compression in the Marcellus Shale. We're also excited about a partial repurchasing of our Haley System in West Texas, enabling it to gather rich gas produced from the Wolfcamp and Bone Springs developments in the Permian Basin. We also anticipate spending approximately $36 million in equity investments, which includes Texas Express and Front Range. Now let's go to our full year outlook for 2014. As you read in yesterday's release, we expect WES's adjusted EBITDA for 2014 to be between $600 million and $650 million. We are very excited for this year as difference implies year-over-year EBITDA growth of over 35%, with the substantial portion coming from organic projects. As mentioned in our earnings release, WES could be in a robust capital program in 2012. And large investment could generate tangible results in 2014. With respect to the EBITDA range, there are 2 key assumptions that I'd like to discuss. First, the estimate range includes results of Texas Express and Front Range assets from March 1 onwards and does not assume any other acquisitions. We expect the Texas Express and Front Range assets to represent 3% to 5% of our adjusted EBITDA in 2014. Second, we have assumed that EBITDA will grow as the year progresses, somewhat of what we experienced in 2013. The first quarter, in particular, being affected by the continuation of colder-than-normal weather that occurred last quarter. As always, we strive to maintain no less than 1.1 coverage for the year and believe we can maintain this trend in 2014. Our coverage will potentially fall below 1.1x in the first quarter because neither the acquisition nor the start up of Lancaster will have a material impact on first quarter results. WES's total CapEx guidance range, which includes equity investments this year, is $650 million to $700 million. This range includes equity investments in Texas Express and Front Range from March 1 onwards. We have a consistent history of diligently managing our balance sheet and maintaining flexibility to finance our projects, while preserving investment-grade metrics. As you saw on yesterday's press release, we recently upsized our committed credit facility to $1.2 billion and extended maturity to February 2019, thus ensuring more than adequate liquidity for both our capital program and future acquisitions. Finally, as a subset of WES's total CapEx, maintenance cap was expected to be between 8% and 11% of adjusted EBITDA, which is a little higher than 2013 but consistent with our 2012 results. Overall, we believe WES's results to support solid growth and our distributable cash flow, which should, once again, result in distribution growth of no less than 15% WES and no less than 34% at WGP. It's important to remember that this outlook does not include the effect of any future acquisitions we may make. Any acquisitions we pursue will be added to the outlook discussed today, and we will update guidance consistent with our past guidance. With that, operator, I'd like to open up the line for questions.
Operator: Operator Instructions] And our first question comes from the line of Bradley Olsen.
Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: I had a question about the profiles -- or the return profiles of the organic capital spending. As the organic capital spending becomes a larger and larger piece of the WES growth story, would you mind walking through what determines the returns as you further build out your systems in places like the Marcellus and the Wattenberg where I expect a majority of your organic growth spending is taking place?
Benjamin M. Fink: Sure, Brad. This is Ben. Let's start with the Marcellus because that's easiest. You might recall that we have the cost of service modeling effect. So through the rate reset mechanism, we're targeting 18% rate of return on invested capital. When you look at the DJ, which is, obviously, is the bulk of 2014. Let's separate out Lancaster and the gathering. Lancaster, we've already targeted an IRR of 16% on the first train, base case IRR of 17% to 24% on the second train. On the gathering side, there is no cost of service. There is no floor level, but obviously, we're protected by the fact that so many rigs are running and we've been kind of averaging a mid-teen to a low 20% type of return there.
Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay, great. And following up on the acquisition. As we think about the ramp-up in contractual volumes that you have on both Front Range and the Texas Express System, are those systems currently expected to get to north of 80% or 90% committed volumes as we move through this decade?
Donald R. Sinclair: Brad, this is Don. That's not in our model. As you all know, a lot of that will be dependent on the resource development. Basically, a lot of it will be driven in the DJ Basin. So we don't have it modeled that way. We have the minimum volume requirements with some other additions that we know about. If shippers have an option to increase their NDQs in 2015, I think that will be a key indicator to really what happens towards the end of -- around 2019. The other thing is you have contracts that expire, where volumes are going to Overland Pass and those volumes will be put back into Front Range and Texas Express. That's kind of how we look at the profile that makes sense.
Bradley Olsen - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Yes, okay. That's helpful. And so the 14% to 18% cited in the press release, that reflects largely what's committed today along with, as you mentioned, maybe some additional volume capture opportunities but nothing really beyond that? Or I guess a better way to ask it would be most of the 14% to 18% IRR projection is based on committed volume ramp-up on those 2 pipes?
Donald R. Sinclair: Correct. And volumes that we have a clear line of sight to.
Benjamin M. Fink: Yes, that's right. Just remember, when these projects were initially built, there was no Lancaster II, there was no [indiscernible] II, all right?
Operator: Our next question comes from the line of Paul Jacob from Crédit Suisse.
Paul Jacob: So I'm just curious sort of broadly how you think about IRR? What's the time frame that you look at those investments? And then do you include any additional investment like -- that you're planning on spending for these assets within that IRR?
Benjamin M. Fink: That's a great question. This is Ben. We're looking over 10 years because that's the life of the committed contract. We're putting a pretty conservative turnover [ph] value at the end of 5x, and we are assuming that we're going to have to put the pumps in, which is not big dollar CapEx next to us, but that gets factored into the IRR as well.
Paul Jacob: Okay. And then I think you -- I think I missed it a little bit, but you talked about the EBITDA that you might be expecting from Texas Express in 2014 relative to your total EBITDA guidance. Could you just reiterate what you said there and give some sense as to whether or not that will include the additional equity investments that you plan on making?
Benjamin M. Fink: All right. Just to be clear, what we said was the acquisition will represent 3% to 5% of our expected 2014 EBITDA. And we only have those acquisitions for 10 months. To be clear, we do not count anything except cash distributions as EBITDA. So that is our best guess of the cash distributions we will receive. Obviously, the operator's policy is going to have a big impact on what the cash distributions amount to be. Does that answer your question?
Paul Jacob: Yes, that does. And then the last one for me is given that this is an equity investment, is there going to be any maintenance CapEx associated with these assets that you would book on your sheets?
Benjamin M. Fink: Yes. On equity investments, what happens is that's usually deducted from the distribution you receive; the maintenance part is netted. So our distribution is lower. So we won't book maintenance CapEx on our books, but you're in the seat same place from a DCF basis.
Operator: Our next question comes from the line of Jerren Holder from Goldman Sachs.
Jerren Holder - Goldman Sachs Group Inc., Research Division: So obviously, great volumes across your systems, just wanted to get a sense of what type of utilization the Brasada plant is running at? I know there are throughput guarantees essentially, but just trying to get a sense of the volumes there and the potential for an expansion within next, call it, 2 to 3 years there.
Donald R. Sinclair: Jerren, this is Don. Anadarko is delivering today what their volume in contract requirement is to Brasada. As far as Brasada II, it's an Anadarko-based decision. There's a lot of variables that they look at relative to capacity and area rates, recoveries, run time, fuel efficiencies. And really, one of the big variables that comes into play for them is the fact that to make sure that they have what we think of simultaneous operations all the way from the preparation of the well to the tailgate of the plant. So we provide them the information we can relative to what we can do with Brasada II. They take and analyze against their other options, and they'll make the decision accordingly.
Jerren Holder - Goldman Sachs Group Inc., Research Division: Okay. And also, especially across, I guess, the drop-down backlog. Can you give us a sense of, I guess, what's left, what are not to, call it, 6 to 8 months in a drop-down rate, if you just continue to see that over time as you guys gradually move to more of organic growth story?
Benjamin M. Fink: Sure, Jerren, this is Ben. As we said in the past, our strategy and our execution pattern around drop-downs really hasn't changed. We kind of drop one and then move on to the next. Obviously, I can't give you any insight as to what's next and what's coming in. But there's still some really nice assets at the Anadarko level. In no particular order, you have a plant in the DJ Basin, you have all the gathering at the Eagle Ford, you have additional gathering at the Marcellus. You have all the Permian assets, both in crude and gas, and all the gathering [indiscernible].
Operator: [Operator Instructions] Your next question comes from the line of Selman Akyol from Stifel.
Selman Akyol - Stifel, Nicolaus & Company, Incorporated, Research Division: You talked about the gathering -- Texas Express Gathering coming on different phases, I think going through 2019, Phase I is just getting started. How long do you expect Phase I to go through?
Benjamin M. Fink: That's a better question for Midcoast, who is the operator. All I can say is it's well underway right now.
Selman Akyol - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And maybe you addressed this, and I got on the call a little bit late, but it looked like your maintenance capital in the quarter was a little below what we were looking for, and then as you go into 2014 maybe a little bit higher. So I was just wondering was there some timing issues there?
Benjamin M. Fink: There's always timing around maintenance CapEx. It's quite lumpy. For the year, we came in on the low end of our range. And on a dollar basis, it's actually going to come close to doubling 2014 versus 2013. Most of that is the trajectory of the volume curb in the Marcellus. What you may have recalled last year is Marcellus well exceeded our expectations and, therefore, we booked more into expansion relative to what we budgeted. And as that rate of growth slows down, more is going to be booked to maintenance as per our policy in 2014.
Operator: There are no further questions in queue at this time, sir.
Donald R. Sinclair: Sherley, thank you. I want to thank everyone for joining us and for your interest in Western Gas. I know today is a busy day for a lot of people, and we really appreciate you dialing in. And we look forward to seeing you again soon. Thank you.
Operator: This concludes today's conference call. You may now disconnect.